Operator: Good day, and welcome to the Ever-Glory International Group Full Year 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I would now like to turn the conference over to Wilson Bow [ph] of Ever-Glory International Group. Please go ahead.
Wilson Bow: Thank you, operator. Good morning, and welcome to Ever-Glory International full year 2014 earnings conference call. Before we begin, we would like to take a moment to go through the company's Safe Harbor policies. The statements contained in the conference call, which are not historical facts are may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC. Ever-Glory does not undertake any obligation to update forward-looking statements except as required by applicable law. Now, I would like to turn the call over to Edward Yihua Kang, Chief Executive Officer for the strategic overview for business followed by Jason Jiansong Wang, Chief Financial Officer, who will provide a financial review. Edward? Thank you.
Edward Kang: Thank you, Wilson. Good morning, everyone. Welcome to Ever-Glory's full year 2014 earnings conference call. Macro environment that remained challenging in 2014, we are pressured to see our business managing stable growth. Now, I would like to highlight some of our full year 2014 financial results. Total net sales increased 25 % year-over-year to U.S. $460.1 million. Gross profit increased 29.2% year-over-year to U.S. $122.2 million. Operating income increased 20.2% year-over-year to U.S. $21.8 million. Net income increased 52.4% year-over-year to U.S. $16.4 million. 2014 EPS of U.S. $1.11 compared to 2013 EPS of U.S. $0.73. In n 2014, retail sales from the Company's branded fashion apparel retail division, increased 29.0% to U.S. $244.7 million, compared to $189.7 million in 2013. In 2014, our retail business added two retail brands Velwin and Sea To Sky, which also sell women's apparel, but have different brand positioning than our La go go. We believe that multi-brand strategy will improve our market share and expand our competitive position through the accurate positioning of each brand. In 2014, wholesale sales increased 20.8% to $215.5 million, compared to U.S. $178.3 million in 2013. In our wholesale business, we remain dedicated to service well-known brands and retail stores by providing a complete set of supply chain management. In 2015, we will continue to focus on high value-added solutions. Now, I will turn the call over to Jason Jiansong Wang, our CFO, who will take you through the numbers for the year 2014. Jason.
Jiansong Wang: Thank you, Edward. By now, you have all seen Ever-Glory's press release with our detail on financial results, so I will use this time to highlight key points in the year 2014. Total sales for the year ended December 31, 2014 were $460.1 million, an increase of 25% from the year ended December 31, 2013. This increase was mainly due to a 29.0% increase in the retail business as well as a 20.8% increase in the wholesale business. In 2014, retail sales from the Company's branded fashion apparel retail division, increased 29% to $244.7 million compared to $189.7 million in 2013. This increase was primarily due to the increase in both, new stores opened and same-store sales. Ever-Glory had 1,201 retail stores as of December 31, 2014, compared to 960 retail stores at December 31, 2013. In 2014, wholesale sales increased 20.8% to $215.5 million, compared to $178.3 million in 2013. The increase was mainly due to increased sales in People’s Republic of China, Germany, United States and Europe, partially offset by decreased sales in United Kingdom and Japan. Total gross profit for the year 2014 was $122.2 million or 26.6% of total sales, compared to $94.6 million or 25.7% of total sales last year. Selling expenses for the year 2014 increased 30.8% to $67.7 million compared to $51.8 million last year. As a percentage of sales, selling expenses increased 60 basis points to 14.7% compared to 14.1 % last year. General and administrative expenses for the year 2014 increased 32.5% to $32.7 million compared to $24.7 million last year. As a percentage of sales, general and administrative expenses increased 40 basis points to 7.1% compared to 6.7% last year. Income from operations increased by 20.2% to $21.8 million in 2014 from $18.1 million in 2013. As a percentage of sales, income from operations decreased 20 basis points to 4.7% compared to 4.9% last year. For 2014, net income was $16.4 million or $1.11 per diluted share, an increase of 52.4% from $10.7 million or $0.73 per diluted share in 2013. Net income for 2013 includes approximately $0.3 million or $0.02 per diluted share of non-cash income related to the change in fair value of a derivative liability. That is all. Thank you.
Edward Kang: Thank you, Jason. Before we take any questions, I wanted to express my thanks to our investors for your continued support and confidence in our management team. That ends our prepared remark. Operator, we are ready to take some questions. Thank you.
Operator: Thank you. [Operator Instructions] We will take our first question from John [ph], who is a private investor.
Unidentified Analyst: Hello, everybody. Congratulations on these great results and thank you for taking my call. The first question I would like to ask is, can you comment about your online sales effort and the impact of online competition on your retail stores?
Edward Kang: Yes. We are just starting online business from last year, so for our brand is through [indiscernible] in line in our business.
Unidentified Analyst: Yes, so I know all of those. Is your strategy to sell like the over stock and out of season items or do you sell the new collections and how do you use those online stores?
Edward Kang: Yes. For the online and offline, our price policy is same, but generally now from the [ph] are neither in our business table already sell into policy stock, right?
Jiansong Wang: Storage.
Edward Kang: Any more comments?
Unidentified Analyst: Okay. Thank you. Then can you describe the style and positioning of your new brands and how many stores are selling those brands?
Edward Kang: Yes. For our La go go, we have already [indiscernible] 100, right so - I think, right? For our La go go, up to now about 1,200 and something, right?
Jiansong Wang: Yes.
Edward Kang: Our single brand in China, the total and the aimed up to now I think maximum about 1,500 to 2,000, so if we wish and looking for the future how to grow our business. We should be additional - new brand - on the new brand, but the different positioning, so now our - the new brand now have about 75 stores in China and I think this year should become to 130 something.
Unidentified Analyst: That sounds great. Can you tell me a little bit about the positioning of the new brands? Like, are they targeted at a different age group or different prices range or different style and image?
Edward Kang: Okay. I know. I will give an idea for the La go go, the positioning is for the age 23 to 28. For our Velwin, their age from 28 to 33, this - it is for age these La go go is a one thing and second is - for price, labor that Velwin is more La go go about 30%. For the starting, La go go is generally for young ladies who you know how to say very active and for Velwin for women should be more ladies elegant.
Unidentified Analyst: Okay. I got it. That is great. Then can you suggest some reasons why your company has been able to achieve so much success when the overall environment for retail stores in China is difficult. It is such a challenging environment?
Edward Kang: I think, first thing it is already essential. I think [indiscernible] and give our support. Another thing is our management team and our staff, their hard work and good direction. I think only two things, good direction and hard work. If you have time, come to our employer you can see our staff, very, very hard working and always looking for the marketing requirement, customer requirement and how to management and how to control our product development and so on. That is why.
Unidentified Analyst: Okay. Thank you. Do you know the approximate sell-through rate of your fall and winter collections?
Edward Kang: Sorry
Unidentified Analyst: From the 2014 collections, what was the sell-through rate of your new items and how much did not sale and it is inventory?
Edward Kang: Okay. I know, so we already said there are more than 75% totally - 75% have sales. This meaning, 25% is in-store for this year. You know what I mean?
Unidentified Analyst: Yes. I understand. Do you think that that is a health level or better than normal or a little worse from normal?
Edward Kang: Normal in China, almost about normal about 50 or 60, so that is why some brands always - in the future you know in the past or in the future. You know what I mean?
Unidentified Analyst: Okay. I understand.
Edward Kang: So, that is why our management team always focused on this area. I know for the selling great, almost more than 82% or 85%, so there that gap from our La go go through the [ph] very famous brand. You know what I mean?
Unidentified Analyst: Yes. I understand. Okay…
Edward Kang: …to how to do achieve step-by-step, come to from 75% to 80% or 82% or 85% or more than, do you know I mean? Okay.
Unidentified Analyst: Can you share some comments about your outlook for 2015?
Edward Kang: For what?
Unidentified Analyst: For 2015, do you have any outlook for your revenues or the numbers of new stores to open or anything about the market environment?
Edward Kang: Of course, you know Chinese economic inflation not so good and not so bad. Right? Challenge and a big change they are one thing, so for La go go, because we now have a [ph] stores, so we are focused just not so good at the stores to be cancelled and addition of some more good stores could be opened for the La go go. For new brand for Velwin and Sea To Sky, should have been opened some more store. For Sea To Sky, should be opened - 100 it just a starting now. For this year, that should be open 100 stores in China. For Velwin should be open another 50 or 60 stores. Velwin is a high labor than the La go go, and Sea To Sky is similar with La go go, but the different starting, you know what I mean?
Unidentified Analyst: Yes. I understand.
Edward Kang: Thank you.
Unidentified Analyst: Okay. That is great. Thank you for your sharing that. The last question I would like to ask is, the company's financial position has become so much stronger than before, so do you expect to pay any dividend?
Edward Kang: I think so, but now because the cash flow it is good, but and not so good, so I should be - the first thing should be expanding our business, you know what I mean? Because up to now, for Ever-Glory in order to getting much more investment from the outside you know what I mean? Because the - the way Ever-Glory have becomes public of company, so because of crisis so Ever-Glory, EVK not to get the - more investment from outside. For the outside investor, cash not so enough that is why we step-by-step, we do not push our inside for the cash flow. You know what I mean?
Unidentified Analyst: I understand.
Edward Kang: Okay. Thanks.
Unidentified Analyst: Thank you very much for all that information. Thank you for answering my questions and I know on the previous conference calls, many times there were no questions, but I appreciate that you always come every three months and explain your business update, so thank you again.
Edward Kang: Thank you. If you have any questions, please contact with the company. Okay?
Unidentified Analyst: Thank you very much.
Operator: At this time, we have one question remaining in the queue. [Operator Instructions] Our next question is from Rob [ph] with Trillium.
Unidentified Analyst: Hi, Guys. Thank you very much. It was a great quarter. My questions have been answered. Good luck for 2015.
Operator: There are currently no questions in the queue. I will turn the call back to the speakers for additional or closing remarks.
Edward Kang: Thank you.
Wilson Bow: Is there another question?
Operator: There are no questions in the queue.
Edward Kang: Okay.
Wilson Bow: Thank you.
Edward Kang: Thank you so much.
Wilson Bow: Thank you, everybody, for joining us on this morning's call. We look forward to providing update for you in the future quarters. Thank you.
Operator: This concludes today's call. Thank you for your participation.